Operator: Thank you for standing by and welcome to Serve Robotics First Quarter 2025 Earnings Conference Call. Please be advised that today's conference call is being recorded. I would now like to hand the conference to your host, Head of Communication and Investor Relations, Aduke Thelwell. Please go ahead.
Aduke Thelwell: Thank you, operator. And good afternoon, everyone. Welcome to Serve Robotics first quarter 2025 earnings call. With me today are Serve's CEO and Co-Founder, Ali Kashani, and our CFO, Brian Read. During today's call, we may present both GAAP and non-GAAP financial measures. If needed, a reconciliation of GAAP to non-GAAP measures can be found in our earnings release filed earlier today. Certain statements in this call are forward-looking statements. You should not place on due reliance on forward-looking statements. Actual risks may differ materially from these forward-looking statements, and we do not undertake any obligation to update any forward-looking statements we make today, except as required by law. For more information about factors that may cause actual results to differ materially from forward-looking statements, please refer to the press release we issued today, as well as the risks and uncertainty described in our most recent annual reports on Form 10-K and in our filings made with the SEC. We published our quarterly financial press release and our updated corporate presentation to our investor relations website earlier this afternoon, and we ask you to review those documents if you haven't already. With that, let me hand it over to Ali.
Ali Kashani: Thanks, Aduke. And thank you all for being here. We made great progress in Q1 and I excited to share what we've been up to. First of all, we made our key targets for the first quarter, which was to build 250 new third-generation robots. As a result, we are on track to reach our end-of-year targets, which is to deploy 2,000 robots. Our team has been heads down really relentlessly executing, and despite all the external uncertainties in the market, I feel confident that we'll be able to hit our target by the end of the year. Let me highlight some of our accomplishments since our last update. First and foremost was the addition of the 250 new robots, which were added to the fleet in LA, Miami, and Dallas. We've spent the last few weeks now bringing the new delivery capacity online, which involves working with city officials and our delivery partners and local merchants and restaurants. We've been launching new geographies and markets and bringing new restaurants online. As a result of all this, in Q1, we increased our daily supply hours by over 40% compared to Q4. The increase in capacity has also led to a sharp increase in our delivery volume. During the first quarter, as we got more robots deployed, our delivery volume increased over 75% between the first and the last week of the quarter. We expect this growth to continue in Q2 even before we add more robots to the fleet. We'll have more geos to cover and more merchants to bring online, which all results in more utilization of the robots. We're also anticipating approximately 60% to 75% quarter-over-quarter delivery volume growth in Q2 compared to Q1. Speaking of geos, since the start of the year, we've launched two new markets, Miami in February and Dallas in April. We've been ahead of our timeline by a few weeks and have been able to also enlist key partners like Shake Shack and Mister O1 at each new market launch. We have also increased our presence in LA significantly by bringing our robots to Glendale and Long Beach in January. In total, we now serve over 320 households around the country which has more than doubled since December of 2024. The flip side of this is our merchant volume, which is also growing quickly. As of today, we serve over 1,500 restaurants. That is a 50% increase since our last update call and it's five times more restaurants than a year ago. Now expanding the fleet size and adding markets and increasing delivery volume, these are just half of the equation. The other half is the quality of deliveries. What's great is that we've been able to rapidly expand our volume and coverage and even launch new robots while at the same time successfully maintain our high delivery quality. For example, the percentage of deliveries that failed to meet our internal delivery deadline was reduced by roughly 65% in Q1 compared to a year ago. We have also kept our delivery completion rate similar to what it was in Q4 before we launched any of the new robots and markets. Also, our average delivery drop-off time has remained consistent throughout this period. All of this rapid growth and sustained quality is why I said earlier that I feel confident in our ability to continue to scale to our 2,000 robot target by the end of the year. Let's also quickly touch on hardware costs. Despite the broader supply chain challenges, another key highlight has been the fact that we've managed our robot BOM cost in such a way that the current tariffs have had so little impact on us. In fact, if you recall, our Gen 3 robots cost nearly one-third of Gen 2 robots, and the current 10% tariffs have actually been offset by the additional savings on the BOM cost. Last but not least, I also want to highlight our solid capitalization position. We raised an additional $91 million in Q1 and had $198 million on the balance sheet by the end of the quarter. In the current market conditions, this has provided us with more flexibility. It's given us more leverage in negotiations and an opportunity to out-execute competition in growth and in technology investments. So to summarize, I hope that I've been able to do justice to highlight our team's relentless efforts and the great results. Having built the first major batch of our 2,000 robots, deployed them, increased delivery volume by over 75% and expanded to new markets while maintaining our high quality of deliveries, all I can say is that I'm really proud of our team for living up to the challenge every single day. Now, let me hand this to Brian to provide a more detailed overview of our Q1 financial results, and I'll be back later to provide an update on our plans for the rest of the year.
Brian Read : Thanks, Ali. And good afternoon, everyone. We were encouraged by the momentum in Q1, primarily driven by the operational progress Ali highlighted. Fleet expansion and new market launches are translating into early top-line traction, supported by disciplined cost management and targeted investments for the second half of 2025 acceleration. Fleet revenues continued to grow in Q1 and, with Gen 3 robots now deployed, we expect their impact on revenue and efficiency to increase in the coming quarters. Revenue for the first quarter 2025 increased 150% on a sequential basis to $440,000. Growth was driven by $229,000 in software services and a 20% increase in fleet revenues, which totaled $212,000. Beginning this quarter, we've consolidated delivery and branding revenue under fleet revenues to better reflect monetization of our deployed fleet assets. While gross margins were 40% favorable quarter-over-quarter, the total cost of revenues increased approximately $1 million due to startup costs related to the scale-up of our fleet and launching in new markets. While software services continue to deliver attractive margins, the increased share of early-stage operations and fleet revenues weighed on the overall mix. As utilization improves and operating density increases, we expect meaningful positive gross margin improvement. Delivery hours are ramping and we remain confident in the operating leverage embedded in our model. Total GAAP operating expenses were $13.5 million in Q1 compared to $12.9 million in Q4 and $8.3 million in Q1 last year. On a non-GAAP basis excluding stock-based compensation, operating expenses were $9.5 million compared to $8.3 million in Q4 and $4.1 million in Q1 prior year. R&D remains our largest investment area at $6.9 million on a GAAP basis and $5 million on a non-GAAP basis. G&A expenses were $4.7 million on a GAAP basis and $2.9 million on a non-GAAP basis. This quarter included continued investment in internal controls and operational infrastructure to support our growth at scale. Costs remained steady quarter-over-quarter, reflecting our disciplined cost management as we continued to build capabilities. Adjusted EBITDA for Q1 was negative $7.1 million, an improvement from negative $7.8 million in the prior quarter, and consistent with our plan to absorb the upfront expansion costs related to scaling. GAAP net loss per share was $0.23 and non-GAAP net loss per share was $0.16. We ended the first quarter with a record cash position of $198 million, bolstered by $91 million raised in January. As shared previously, we've made the strategic decision to self-fund our 2,000 unit fleet rather than pursue equipment financing. This eliminates approximately $20 million in interest and purchase option costs through 2026. We incurred $3.5 million in CapEx during this quarter related to building our fleet. Our cash on hand is expected to fund operations through the end of 2026, though we will continue to evaluate financing opportunistically. Our outlook remains unchanged. Despite macroeconomic volatility, we continue to project an annualized revenue run rate of $60 million to $80 million once our 2,000 robot fleet is fully deployed and reaches target utilization which we anticipate will occur during 2026. Fleet deployment will accelerate in the second half of 2025 with at least 700 reduced cost Gen 3 robots built by the end of Q3 and the remainder built in Q4. We are guiding to Q2 2025 total revenue in the range of $600,000 to $700,000, representing anticipated top line growth of approximately 35% to 60% quarter-over-quarter. As of today, we estimate 57 million shares outstanding. With that, I'll turn the call back to Ali for an update on our 2025 plans and technology advancements.
Ali Kashani : Thanks, Brian. Let's quickly look at what comes next. We had a strong first quarter in support of our rapid expansion, and the team is completely heads down right now executing the rest of the roadmap to get to the 2,000 robots by the end of the year. Let's start with the metros. Beyond Miami and Dallas, our next city will be Atlanta. We are on track to launch Atlanta by the end of Q2, which is what we had promised earlier. This will be the fourth metro our robots will be operating in. We also expect to announce additional new markets for the rest of the year later on, so please stay tuned. Next up is the robot build. We are diligently working with our manufacturing partner, Magna International, and expect to have the next batch of 700 new Gen 3 robots to be ready to deploy by the end of the third quarter. Also, we are working actively with Wing Aviation to kick off our multimodal delivery pilot where drones and robots deliver goods together. Early validation results have been promising, so there's more to come there as well. I'm also excited to share an update about our software and data platform. As you know, our tech continues to be a key differentiator. Our robotic platform, which includes a wide range of technologies for creating and operating fleets of autonomous robots, as well as the data that we collect from our vehicles to train our AI models, they all represent exciting new business opportunities. To explore that, we recently brought on board a seasoned business development leader, Scott Wagner, as a VP in charge of creating a new business inside Serve. He'll be focusing on monetizing our platform and data. What's exciting is that we already have agreements in place with key new customers that include a major European automaker, a middle-mile autonomous trucking company and a couple of specialized industrial robot companies. We'll have more to share about this in the coming months, but one thing I wanted to share now is that starting in Q2, we'll have recurring software platform revenues. It will start small at first, but we expect it to grow over the coming quarters. And besides the fact that this adds revenue, it also helps diversify our opportunity sets further and it lowers our reliance on any single revenue source or partner. In closing, we had a strong start to 2025. We are confident in our ability to continue and execute on our plans, and we have many new opportunities to look forward to as well. Thank you all for the time you've taken to be with us today. We will now move into the Q&A session. Back to you, Aduke.
A - Aduke Thelwell: First question, can you tell us what you've learned from the new launches in Miami, Dallas, and soon Atlanta? Is there anything you can share about things like operations and initial progress? I think, Ali, could you take this one?
Ali Kashani: Certainly, I'm happy to share more how these market launches work. To be clear, this is still early days, but I'm very pleased with our progress so far. Every city really has its own quirks and its own unique operational challenges, but we have a high-level playbook that we try to execute with discipline, while also being adaptable and flexible. A really good example actually is, in January, when we launched Miami which was ahead of schedule. We were able to decide to launch Miami and have our first operating area launched within three and a half weeks, so less than a month. And this is because when we realized there's nothing on our way, we were able to really quickly execute the playbook that I mentioned. This is usually in three phases. The first is when we put an initial deployment, a small number of robots in a high-density area with a skilled local team. And then we use that to train a strong team in place, engaging with local stakeholders, finding the optimal locations for depots. And once we do all that, we really get our [inaudible 0:17:36] under us. We get to the second phase, which is deepening our reach in the market. This includes increasing the fleet size, onboarding high-volume merchants, expanding to new neighborhoods. And again, Miami was a good example where, within a few weeks, we increased our delivery volume 2.5 times. In the final phase is where we grow to maturity. This is where we really are focusing on operational efficiencies, integrating into the city ecosystem, working on the demand, and onboarding more merchants, improving unit economics. This is where ultimately we spend a fair bit of time, like in Los Angeles, where we are more well-established. We have effective SOPs. We are optimizing the platform at the same time as expanding to new neighborhoods and new areas in the city. And then, one last thing I should mention, too, is a big part of all this is really public acceptance. This is really critical. When you bring a new technology to a new area, you want to make sure that folks understand why you're there, what you're doing, and want you to be there. So when we go to new markets, we actually spend real effort connecting with folks locally. In Dallas, for example, we participated in local school science fair. In LA, we engaged with communities like seniors or people with accessibility needs, so that we can help inform them about what we're trying to do and make sure that they're comfortable. with the robot.
Aduke Thelwell: The next question is a composite question from email. Can you provide more detail on the performance of the Gen 3 robots in terms of daily deliveries or range compared to Gen 2? Do you continue to see performance improvements in the Gen 2 robots?
Ali Kashani: Yes. I said this in the past It still remains true that compared to when we launched the Gen 2 robots, Gen 3 robots are performing better. We are certainly seeing improvements in certain areas because of the new robot design, for example. Obvious one is the cargo capacity, but there are other areas. Like, we are actually seeing more hours of operation per robot each day in the Gen 3 robots compared to the Gen 2 because of the added battery capacity. We are still really pushing Gen 3 robots to try to figure out all the kinks in hardware and software, so that we can fix them early before we scale further. But the results so far have been promising. Based on what we've seen, this is why we felt comfortable guiding to Q2 delivery volume growth of about 60% to 75%.
Aduke Thelwell: The next question is about the fleet. With 250 robots added in Q1, what is the total fleet size? Can you elaborate on how you got to guidance for delivery volume and for top line revenues?
Ali Kashani: At the end of Q1, our fleet size is over 300 robots, which includes robots we use for R&D, for testing, and of course for delivery. Now, not all the robots are active at the same time as we are bringing more merchants online and expanding to more geos. The guidance for Q2 assumes that we will continue to increase the daily active robots in the existing markets as well as the new markets. like Atlanta. We saw over 75% increase in delivery volume from first to the last week of Q1 as a result of bringing more robots online and expanding. And now we are expecting another 60% to 75% increase in delivery volume in Q2 compared to Q1 as a result of, again, more robots and more utilization in existing and new geos.
Aduke Thelwell: Next question was a common question on email. Can you share more about tariff impact? Have tariffs affected the cost of components or the timing on receiving them?
Brian Read: Obviously, since news started coming out a couple months ago, we've been implementing strategies and executing for country of origin strategies the last few months. So we're looking at supplier diversification and, I think most importantly, we're seeing that our exposure in China remains a small percentage of the overall BOM. But I think most importantly here is to highlight something Ali said before that we've been very successful in realizing the cost reductions from what our supply chain and procurement team and engineering teams have been able to do with our BOM costs. So, that savings will definitely cover any tariff impact that we have. But right now, we're not seeing any material impact from what we know.
Aduke Thelwell: Can you comment on why you're changing the way you disclose fleet revenues?
Brian Read: I think what we're trying to show here is the journey that we've been on, right? Where we started was with a single delivery partner, pay-per-delivery services. And over the past year, you've seen how we've expanded the delivery offerings, the branding opportunities and we're evolving the mix and just the number of those contracts and methods that we're providing. So, ultimately, this doesn't change anything about our focus for expanding delivery and branding services, but I think it definitely represents to the market and how we view the fleet that we're always looking to monetize.
Aduke Thelwell: How do you think about the monetization opportunities you mentioned related to data and software? How should we think about modeling the potential revenue impact? Ali, could you take this one?
Aduke Thelwell: I'll give you a quick answer and then a little bit more detail on our thinking. So the quick answer is that this is a long-term play. And what we have here is we build our own products on top of this technology stack that we created. And we are now deploying that product. So in the short term, this is the biggest revenue opportunity and growth in our delivery business. But over the longer term, as our customers and partners using our stack start building their products and services and bring them to market, that's when we would have a share of the value that will be created. Now just stepping back for a moment to explain the broader strategy here. From the very start, we saw food delivery as a killer application for building a full stack autonomy platform for fleets of robots that are out there by themselves and performing tasks. This means that the AI we built for robots to navigate human spaces autonomously or the APIs to interface with the robots or the fleet management software, the SOPs and software for safety and reliability, the tools for remote intervention, all this stuff are really valuable. And our mission is ultimately beyond just doing food delivery. We want to bring robots to our lives. And we are not going to be building all of the robots in the future. So we have now started to really scale the application that we are focused on. But we now have partners who are in other spaces facing similar problems that we've already solved, and they're eager to use our technology. So that's where this platform and data play comes from. And that's why we hired Scott to identify the right partners that would benefit from this and create a new business around that. As I mentioned, we do have agreements in place with a few customers already in place, and we'll have more to share about that soon.
Aduke Thelwell: I think that concludes our Q&A for today, and we appreciate all the thoughtful questions that we received. Please don't forget to check out our little guy, Saymo, who's on Netflix on Wednesdays. He will be on John Mulaney's Everybody's Live comedy show, and I'm told that Saymo is up to no good next week. So hope to see you soon and look forward to the next call.
Operator: Thank you. And thank you for your participation. This concludes today's conference call. You may now disconnect.